Operator: Good morning, ladies and gentlemen. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Manitowoc First Quarter 2024 Earnings Conference Call. And I would now like to turn the call over to Ion Warner, Senior Vice President of Marketing and Investor Relations. You may begin your conference. 
Ion Warner: Good morning, everyone, and welcome to the Manitowoc conference call to review the company's first quarter 2024 financial performance and business updates, as outlined in last evening's press release. Participating on the call today are Aaron Ravenscroft, President and Chief Executive Officer; and Brian Regan, Executive Vice President and Chief Financial Officer. 
 Today's webcast includes a slide presentation, which can be found in the Investor Relations section of our website under Events & Presentations. We will reserve time for questions and answers after our prepared remarks. I would like to request that you limit your questions to one and a follow-up and return to the queue to ensure everyone has an opportunity to ask their questions. 
 Please turn to Slide 2. Please note our safe harbor statement in the material provided for this call. During today's call, forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995, are made based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied or actual projections due to one or more of the factors, among others, described in the company's latest SEC filings. The Manitowoc Company does not undertake any obligation to update or revise any forward-looking statement, whether the result of new information, future events or other circumstances. 
 And with that, I'll now turn the call over to Aaron. 
Aaron Ravenscroft: Thank you, Ion, and good morning, everyone. Please turn to Slide 3. Today, I'd like to start with my update on market conditions. Our orders for the first quarter were up 6% year-over-year. Total backlog ended the period at a strong $971 million. 
 In the U.S., crane activity around the country remains strong. Utilization and rental rates continue to hold up, and although short term is a bit mired by the election cycle, the overall outlook remains positive. 
 With this in perspective, I recently spent a day with the owner of a large crane rental house who's been in the business for more than 50 years, and he told me that he's seeing more work coming than he's ever seen. Of course, we all see the announcements around new semiconductor projects, but this fellow indicated that data storage centers, rail and power generation were driving his regional market. It will be interesting to see how this plays into decision-making over the next couple of quarters, but I view the medium and long-term outlook in the U.S. favorably. 
 Turning to Europe. The power crane market remains very challenging. Our machine orders for tower trains decreased 34% during the first quarter of 2024. Our data suggests that the tower crane market is operating at 2009 levels. In spite of this difficult environment for machine orders, our aftermarket sales have held up relatively steady. 
 The CECE or Committee for European Construction Equipment recently published their annual economic report. The report suggests that the overall European construction market will stabilize in 2024 and start to recover in 2025, driven by government investment in renewable energies and industrial infrastructure. In addition, there's a huge housing shortage, and we have already seen some of the large crane rental houses start to sell off their older assets outside of the region. 
 Finally, I would add that the comparables should start to get easier in the third quarter, which is normally the basis for a recovery. There's no doubt that mortgage rates have been far more inelastic in Europe than they've been in the United States. The current mortgage rate in France is around 4%. I believe that even a modest reduction in these rates would provide some relief and a basis for recovery in the residential end market. 
 As it relates to mobile cranes, demand in Europe is stable. We have surely seen a wide variation of behaviors from customers across Europe, but on the whole, activity is positive. Italy and Poland have been particularly good for us, and we saw some green shoots in France during April. Utilization remains good at the crane rental houses and folks are actively managing their fleets. Heading into the next couple of quarters, we have a pretty strong order book, which is always a good sign. 
 Moving to the Middle East. Our orders for the first quarter increased more than 10% year-over-year. Quoting activity remains at an all-time high, driven by investments in Saudi Vision 2030 and Qatar's North Field expansion project for natural gas. Although the timing of big orders isn't always easy to forecast in this region, the strong demand is broad-based in nature, and we expect this to continue for the foreseeable future. Not surprisingly, however, Chinese competition in the Middle East has started to heat up, and we're starting to see pricing pressure. 
 Lastly, Asia Pacific remains dominated by the storm clouds over China's construction market. Although we've seen some bright spots in Hong Kong and Singapore, in South Korea, the tower crane market has slowed, but it's been offset by good demand in the mobile crane market. And lastly, Australia continues to chug along. 
 Please move to Slide 4. Just to briefly touch on The Manitowoc Way, I visited our French facilities a couple of weeks ago, and they've never looked better. In spite of the volume reductions, the team remains extremely motivated, and I'm very proud of how they continue to manage the things that they can control in a very difficult environment. 
 On this slide, I've shown 3 great achievements at our Charlieu factory. The Manitowoc Way always strive to eliminate forklifts on our plans to improve safety. Given the size of our parts, there isn't always a good alternative. As you can see in the picture on the left, however, the team is now using some very basic equipment to move large mass from the shop floor, which eliminates the hazards created by forklifts. The center picture shows a drum that the team developed in 3 months. This will be the heart and soul of the large 64-meter ton luffing crane that the team is developing to serve major Saudi projects and future European nuclear projects. And lastly, the picture on the right is a remanufactured mass for a large top-slewing crane. 
 A key differentiating factor for Potain cranes is that we use a pin system to erect and assemble mass, which is significantly faster than the typical bolt system that our competitors use. These pinholes wear out over time. Since the team started on this initiative roughly 12 months ago, they've been able to reduce our costs for remanufactured mass by 56%. This is quickly becoming a viable aftermarket product offering that we've dreamed about for more than 25 years. 
 With that, I'll pass it over to Brian for a financial update. 
Brian Regan: Thanks, Aaron, and good morning, everyone. Please move to Slide 5. From an overall perspective, the first quarter results were in line with our expectations. During the period, we had orders of $554 million, an increase of 6% from a year ago, bringing our March 31 backlog to $971 million. the higher order intake was primarily driven by the European mobile business. 
 Net sales in the quarter were $495 million, a decrease of 3% from a year ago. The year-over-year decrease was primarily driven by continued softness in our European tower crane business. This impact was partially offset by the Americas and the European mobile crane business. Our non-new machine sales were $145 million, relatively flat year-over-year. MGX, our in-house distribution business continues to grow its aftermarket. However, used sales in our traditional OE business were down modestly. 
 SG&A expenses were $76 million or 15% as a percentage of sales and relatively flat year-over-year. Our adjusted EBITDA for the first quarter was $31 million, a decrease of 31% year-over-year. The adjusted EBITDA margin was 6.3%, a decrease of 260 basis points over the prior year due to unfavorable product mix. The European tower crane market continues to be a headwind with a year-over-year impact to adjusted EBITDA of approximately $20 million. This was partially offset by incremental shipments from the rest of the business. 
 As we have stated in previous calls, tower cranes sold into Europe represent our highest margin product. And unfortunately, our European factories also have the least flexible overhead structures, resulting in weak absorption of fixed costs as volumes decline. Our GAAP diluted income per share in the quarter was $0.12. On an adjusted basis, diluted income per share was $0.14, a decrease of $0.32 from the prior year. 
 Please turn to Slide 6. Net working capital ended the quarter at $509 million. Although our accounts receivable ended higher than we anticipated due to the timing of the Easter holiday, the main driver for our increase in working capital is inventory. 
 While we have our normal seasonality with line starts relative to our build schedule, the single largest growth in inventory, whether it be year-over-year or versus year-end within our internal distribution channel, our build schedule for these businesses was more heavily weighted in the first half, giving us more flexibility to ship products in the second half. We expect to work our inventory down significantly by the end of the year. 
 Moving to cash flows. We used $31 million of cash for operating activities during the quarter. Capital expenditures were $12 million, of which $6 million was for our rental fleet. We ended the quarter with a cash balance of $32 million. Total outstanding borrowings under the ABL increased $14 million during the quarter, leaving $74 million outstanding. Our net leverage ratio was 2.4x, well under the targeted 3x, and total liquidity was $233 million. 
 With that, I will now turn the call back to Aaron. 
Aaron Ravenscroft: Thank you, Brian. Please move to Slide 7. Next week, Manitowoc is holding a Crane Days event at our Shady Grove factory, where we expect to host more than 1,000 visitors. This is always a great opportunity to showcase our new technology, our latest aftermarket initiatives and, of course, to new cranes. We'll display 34 machines at the event, of which 5 will be new unveilings. 
 Over the last couple of quarters, we've been very focused on integrating our dealer acquisitions and growing our aftermarket, and I think this is an appropriate time to remind everyone just how much we've done in terms of innovation without much fanfare. Since 2021, we've launched 29 new or refreshed crane models, and here's a few highlights. 
 Firstly, we developed GROVE CONNECT and POTAIN CONNECT telematics solutions with a suite of remote diagnostic and troubleshooting capabilities. To date, over 2,500 cranes have been equipped with this capability. 
 Next, we launched 2 new truck-mounted cranes and a new boom truck that specifically serve the U.S. taxi market. Aligned with our breakthrough initiatives to drive new product development for all train cranes, we've launched 9 new or refreshed models, and we continue to push forward to commercialize models with our hybrid technology. 
 With respect to our breakthrough initiatives to grow sales in the Belt and Road region, our team in China has launched 8 new tower crane models in record time. Most recently, we launched the MCR 325 and MCR 625, which are key luffing cranes to serve the Belt and Road region. 
 Lastly, for European tower cranes, we launched 7 new models. Most notably, we started to incorporate CCS, our crane control system, into our Potain luffing cranes, which provides better load charts and simplified operations. In addition, we've begun to introduce our Evy crane. This is our next generation of self-erecting cranes, which meet the new European safety standards and come with added features, like POTAIN CONNECT, providing extensive fleet management functionalities in remote or local troubleshooting capabilities with a smartphone. 
 In closing, as we expected, the slowdown in the European tower crane business is dampening our profitability in the short term, and we will continue to battle this situation for the balance of the year. Fortunately, although it's difficult to see in our results, the early gains from our CRANES+50 initiatives to grow our aftermarket is helping us manage through this cycle. 
 On the one hand, our aftermarket business in the European tower crane market is proving to be far more resilient in spite of the depressed market for new machines. On the other hand, our dealer acquisitions from a few years ago continue to grow and exceed our expectations. We didn't expect to break the impact of the crane cycle in 3 years where our CRANES+50 strategy is bearing fruit. 
 Overall, orders remain very strong, and we see good signs of pent-up demand around the globe. We're already seeing projects move in Saudi Arabia, and we are slowly but surely starting to see signs that the U.S. infrastructure and semiconductor builds are moving. Concurrently, many of the large crane rental houses around the world have been very focused on reducing the age of their fleets for the first time in my 8-year tenure. 
 In the meantime, we remain focused on controlling the things that we can control, which include: number one, leaning into The Manitowoc Way to reduce our inventory and generate cash; number two, executing our CRANES+50 strategy to get closer to our customers and increase our aftermarket; and number three, doing what we've always done, engineering, manufacturing and selling the best cranes in the industry, which will showcase at Crane Days next week. 
 Before we hand it over to the operator, I would like to thank the Manitowoc team. Over the last couple of years, it seems like we've drifted from one crisis to the next, whether it be COVID, inflation and unexpected geopolitical calamity or a bridge accident that shuts down our main port of entry into the U.S., the team always steps up and tackles the problems head on. I would just like to express my heartfelt gratitude to our employees for their endless commitment and dedication to the company. Thank you. 
 With that, operator, please open the lines for questions. 
Operator: [Operator Instructions] And your first question comes from Jerry Revich with Goldman Sachs. 
Clay Williams: This is Clay on for Jerry. Just quickly, with supply chain performance, it seems to be normalizing. Moving forward, could decremental margins be relatively muted given as the improved productivity offsets the lower volumes in the cycle? 
Brian Regan: Yes, I think definitely seeing a tailwind related to supply chain. But the bigger impact, as we talked about in the prepared remarks, is the tower crane business. And we'll see that from a comp perspective in the second quarter as well. It starts to normalize in the second half. So I think that's the bigger kind of issue that we're working through right now. 
Clay Williams: And then as a follow-up, just can you update us on the strategic priorities over the next 12 to 18 months, particularly just around capital deployment? 
Brian Regan: Yes. I think, again, as we've talked about in the prepared remarks, inventory management over the next 9 months is going to be really important. We did see the normal seasonality kind of spike in Q1. But trying to get through some of that inventory, particularly in the distribution business over the next 9 months is really the priority. 
Aaron Ravenscroft: And our CapEx remains $60 million. 
Brian Regan: Yes. 
Operator: And your next question comes from the line of Mig Dobre with Baird. 
Mircea Dobre: Can you maybe recalibrate our expectations relative to your prior guidance? And maybe help us as to how we need to think about Q2 relative to Q1 as well. 
Brian Regan: Yes. As we said, Q1 was in line with expectations. We didn't update our guidance intentionally because we think our guidance is still the right range at this point in time. The sensitivity around the tower crane is we don't have much of a backlog, and we're really living hand to mouth right now makes that wide range still appropriate. 
Mircea Dobre: Okay. So you're reiterating guidance, but it sounds like the tower crane headwind is still there. So as we're thinking about Q2, specifically, I mean, normally, we have a seasonal ramp in revenue, margin is also a little bit better. Is that still to be expected? Or is this more of a back half story at this point? 
Brian Regan: Yes. I think the Q2 impact related to towers is going to be -- from a comp standpoint, is going to be similar to maybe a little bit less. But it will be similar to what we saw in Q1, and then the second half normalizes. 
Mircea Dobre: Great. Then my follow-up on this tower crane discussion, and I recognize that the industry-wide data here can be a little fuzzy, but one of your Japanese competitors put out some data in this regard. And what they're pointing out is that the tower crane market has actually been really, really robust in 2023, probably some of the best demand we've seen since 2008.
 I'm kind of curious of your perspective here. Have we sort of seen a -- such an investment cycle in tower cranes to where maybe this downdraft is more than just a year, it could be multiple years in nature? Or is this -- where are you, frankly, seeing something completely different for your business? 
Aaron Ravenscroft: Yes. I don't know of any Japanese tower crane companies, so I'm not sure who you're referring to. With respect to the European market, it's broad-based. Everyone we speak to is saying the same thing. If you dig into that CECE report, there's some more data in terms of the downturn last year.
 Given that we're at '09 levels, we'd like to believe we're at the bottom and feel that we're at the bottom. But there is a bit of normal seasonality on the tower crane business, too. I mean folks like to take their cranes in the beginning of the first quarter to really sell them or rent them sort of March and April. So we're already sort of through that cycle. 
 And of course, everything is slow in the third quarter in Europe. So I think, from a seasonality standpoint, we're really looking to the fourth quarter before we get a good view. And that's normally when we have our winter campaign, and we start to see orders for folks for the next fall. 
Operator: And your next question comes from the line of Stephen Volkmann with Jefferies. 
Stephen Volkmann: I'm going to stay on tower cranes, if it's okay. It sounds like, I think you've said a couple of times, that the comps sort of get easier in the second half. Could towers be flat in the second half? Is that the right way to think about it? Or we just don't know. 
Aaron Ravenscroft: Well, we're sort of hand to mouth since we don't have much backlog, but that's generally sort of how we view the second half of year. 
Brian Regan: Yes. But that's why the broader range is because if you get a big order, it could change it or -- so that's -- we're hopeful, but that's what we're sitting. 
Stephen Volkmann: And if towers are flat, maybe my words, not yours, but that should sort of reduce a bunch of kind of year-over-year margin headwind because of the margin mix issue. 
Aaron Ravenscroft: That's correct. 
Stephen Volkmann: Okay. Great. And then Crane Days, Aaron, is that like a catalyst for orders, do you think? Or is this just sort of getting the word out? 
Aaron Ravenscroft: Yes. I mean anytime we have that many customers, we're hopeful to get some orders. As you can see, we've got plenty of inventory. So we're eager to start pushing machines next week. Normally, there's always some things that have been in the works and folks bring those orders to the event. But the real intent is to just get out and be communing with our customers. 
Operator: And your final question comes from the line of Tami Zakaria with JPMorgan. 
Tami Zakaria: So I also have a follow-up question on tower cranes. That's been weak for a few quarters now. What KPIs are you watching to give any signs of inflection there? Basically, the reason for my question is, is there any catalyst you're looking forward to which would drive stabilization in trends in the back half. What needs to happen in that market? 
Aaron Ravenscroft: Yes. So I think to get us going again, we need to see interest rates come down a little bit. So that's probably the first thing that I've been tracking. Secondly, you can look at the residential permits in Germany and France. I think that's -- there's good data out there, so we're tracking that as well. 
 But as always, in the crane business, it's always built off of confidence. So I think until you start to see those metrics move, it can be tough for folks to really get a lot of confidence to start spending CapEx again. 
Tami Zakaria: Got it. So a quick follow-up. When you look at residential permits in, let's say, Germany, France, how -- if it inflects, let's say, tomorrow, does your orders come in at a lag, like orders improve at a lag? Or do you easily see orders improve in the same quarter? 
Aaron Ravenscroft: Yes, there's a lag to it. There's always some timing to it. You definitely -- and we go back a couple of years when it started to dip down, we didn't actually go. So there's definitely some lag to it. 
Tami Zakaria: Got it. If I can ask 1 more question. Saudi Arabia, I think recent reports suggested that they scaled back some of the mega projects. Can you comment on what you're seeing in the Middle East and whether your long-term outlook for the region has changed based on some of these reports? 
Aaron Ravenscroft: Yes, our outlook hasn't changed. I know that they've changed the scope relative to the line. But I don't think that anyone really believe the full scope would happen, and it wasn't going to happen by 2030. Everyone -- I was there last time they were talking that really would be more like 2040, 2045. So it's a long-term investment. 
 So there's no real surprise for us. That being said, all of the other projects are continuing to move forward that not a lot of different global or international events that rely on that. So our outlook still remains very strong relative to the Middle East. You can see it in our [indiscernible]. 
Operator: And we will take our next question from Clifford Ransom with Ransom Research. 
Cliff Ransom: I hate to say it because you give me a lot of c*** about being so old. This is now my 52nd year around lifting companies. We all know this is a cyclical business. You're doing things to reduce that cyclicality, and I commend you for what you've done on the balance sheet and particularly new products. 
 But what have you done recently to -- I saw enormous changes in France when we were there a month ago. What are you doing in the rest of the company or at the top of the company? It's notable to promote The Manitowoc Way. 
Aaron Ravenscroft: Yes. So I'd say that our real focus these days has been around our aftermarket business and trying to figure out how we can apply our lean tools to an aftermarket business, which has been great. Of course, having distribution, we start to learn more and more about our traditional business and what we can do better to be a better partner to our internal distributors as well as our existing distributors. 
 So I'd say that our main focus is really just dragging it out off the manufacturing floor and into the service locations and to some of our other administrative offices and, of course, around environmental and some of the things we can do to reduce our costs relative to our gas usage [ and our papers ]. 
Cliff Ransom: Have you adapted anything in the culture of The Manitowoc Way to make that transition from the factory floor to what we call the corporate land world? Are there any particular success stories or learnings that you've made from things that didn't work well? 
Brian Regan: Yes. When I look at the distribution business and the finance organization, they conducted value stream mapping session to really look at what impacts and what time they can take out of their process to provide more value to the business and be more of a partner to the business, and that's really on the compliance side. So they spent a few days together to look at their processes and try to identify ways to take out time of that process and really better utilize the system, the finance and back-office system that they use. So I think we had some good successes, but more to go with that. 
Aaron Ravenscroft: Yes. I think in terms of challenges, anytime you're trying to standardize "fixing cranes", I mean, that's a tough deal. So I think there's a lot of different good ideas floating around the company. And in fact, I'm pretty optimistic that AI will give us some tools that will help us become more productive and just more effective at doing that. 
Operator: And there are no further questions at this time. So Mr. Warner, I will turn the call back over to you for any additional or closing remarks. 
Ion Warner: Okay. Thank you. Before we conclude today's call, please note that a replay of our first quarter 2024 conference call will be available later this morning by accessing the Investor Relations section of our website at manitowoc.com. Thank you, everyone, for joining us today and for your continued interest in The Manitowoc Company. We look forward to speaking with you again next quarter. 
Operator: Ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.